Operator: Good day, everyone, and welcome to Eagle Materials Conference Call for the Second Quarter of Fiscal 2018. This call is being recorded. At this time, I would like to turn the call over to Eagle's President and CEO, Mr. Dave Powers. Mr. Powers, please go ahead, sir.
David Powers: Thank you, Nova. Good morning. And welcome to Eagle Materials conference call for our second quarter of fiscal 2018. We're glad that you could be with us today. Joining me today are Craig Kesler, our Chief Financial Officer; and Bob Stewart, Executive Vice President of Strategy, Corporate Development and Communications. There will be a slide presentation made in connection with this call. To access it, please go to eaglematerials.com and click on the link to the webcast. While you're accessing the slides, please note that the first slide covers our cautionary disclosure regarding forward-looking statements made during this call. These statements are subject to risk and uncertainties that could cause results to differ from those discussed during the call. For further information, please refer to this disclosure, which is also included at the end of our press release. It can be no surprise to anyone that our country has experienced some of the most disruptive weather events of the past decade, including two hurricanes that hit major U.S. economic centers. The immediate effects have been production and demand interruption. These disruptions will give way to increased demand for construction materials that are vital in the rebuilding. We are allocating our resources accordingly in service of this need as we speak. As a side note, in order to help with the relief effort, we've begun donating material and have discounted products to lend immediate assistance. Let me provide some specifics on the storm effects of our quarter. Our Wallboard plant suffered no damage as a result of the hurricanes. However, we did shut our South Carolina plant down for four days. Our Wallboard shipments to Florida and southern Texas substantially slowed for two to three week period during and after the storms. Today however, our Wallboard back order is very strong. We had no damage to our cement terminals and our cement plant in south Texas. Cement shipments were also disrupted for about two weeks. We also had several significant jobs that have been deferred into next quarter or the spring due to weather and timing issues. Our frac sand and proppants business was generally unaffected by weather. Longer term demand will continue to be driven by the fundamentals. And for us at this time these fundamentals and the outlook for each of our businesses are very good. We anticipate trend demand growth in housing, as well as an accelerating growth in repair and remodeling which are the primary end use drivers of all of our gypsum wallboard businesses. We also expect trend demand growth in cement against the backdrop of highly concentrated U.S. manufacturing supply. American gypsum has announced a system wide price increase in wallboard for January 1, 2018 of 18%. We have also communicated to our cement customers that our prices will be going up from $6 to $8 per ton depending on the region. Implementation will vary by market between January 1 and April 1st of next year. I'm proud of the progress that our proppants business has made in improving its profitability, even at current suppressed oil price levels volumes and spreads continue to grow and we generated $6.7 million of cash during the quarter. With the completion of our previously announced drying capability at our flagship mine in Utica, Illinois next summer and with the integration of our Wildcat materials acquisition, we will be well poised to profit, the growing demand for high quality sand across key basins. OCC costs are a noteworthy development for Paperboard. They peak during the quarter and have since declined $50 a ton. The negative impact to our cost during the quarter was about $2 million. We expect the impact to this cost to be positive next quarter, roughly at $3 million to $4 million reversal. In closing, I want to underscore that the fundamentals of our construction businesses remain strong and intact, market tailwinds are behind our backs and we are operating well. We continue to exercise discipline on new investment in terms of strategic fit, quality and returns. Now let me turn it over to Craig for the financial details.
Craig Kesler: Thank you, Dave. Eagle second quarter revenues were a record $376 million, an increase of 13% from the prior year, reflecting improved sales volumes and prices across most of our businesses. Eagle’s quarterly earnings per share improved 5% to a $1.31 and were the second highest quarter on record. This next slide highlights the results of our cement, concrete and aggregates businesses, a 9% improvement in cement sales volumes, and improved cement concrete and aggregates pricing were the primary drivers of the 14% increase in Eagle's quarterly comparative of cement, concrete and aggregates revenues. Operating earnings also improved 14% to a record $64 million, reflecting improved sales volumes and pricing. Moving to our Wallboard and Paperboard businesses, lower sales volumes in the Paperboard business were the primary driver of the 1% decline in our quarterly comparative of Wallboard and Paperboard revenues. Quarterly operating earnings in these businesses declined 11% to $46 million, reflecting higher recycled fiber costs and the start up – start up costs associated with opening our previously idled facility in New Mexico. Eagle’s oil and gas proppants financial results improved from the prior year and the near term prospects for our frac sand business have improved significantly from this time last year, which is reflected in a 250% increase in our second quarter frac sand sales volumes. This improvement in sales volumes helped generate cash flow of almost $7 million during the quarter. Operating cash flow during the second quarter was down 7% from the prior year, reflecting the timing of certain working capital items, while capital spending increased $28.7 million, which includes investments in our Nevada cement facility, the Bernalillo wallboard plant start up and construction of our new frac sand drying plant mill in [Illinois] [ph]. And as we previously discussed, we completed our acquisition of Wildcat Minerals early in the quarter with the purchase price of $36.8 million. Excess cash flow is used to pay dividends, repurchase shares and reduce outstanding borrowings. This last slide reflects the cash flow generation results of our highly competitive low cost position. Our net debt to cap ratio was 32% at September 30, 2017. Thank you for attending today's call. We’ll now move to the question-and-answer session. Operator?
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Brent Thielman of D.A. Davidson. Your line is open.
Brent Thielman: Yeah, hi. Thanks. Good morning.
David Powers: Good morning.
Brent Thielman: The Wallboard - the Wallboard side the 68% demand growth, I think we talked about earlier this year, that was kind of hope for the full year, is that range out the door with some of the disruption to the industry this quarter? Do you still think there is opportunity to make that up?
David Powers: Brent, I would tell you the last six years demand for Wallboard has increased 8 billion foot from 17 to 25 and that's a compounded annual growth rate of 6.5% over the last 6 years. I probably don't expect that rate to continue at that level the next three, but I do feel that going forward we're mid single digits.
Brent Thielman: Okay. That's helpful. And then any additional kind of start up costs for the Bernalillo Wallboard plant or is that - is that fully operational now?
David Powers: It is fully operational. We actually started it up in August. We shipped our first product September 1st. Start up was very successful. We did struggle a little bit with some delay issues and the last three weeks we've been running really well. But we didn't incur start up costs of about $2.5 million.
Brent Thielman: Okay. All right. Thank you.
Operator: Our next question comes from the line of Trey Grooms of Stephens Inc. Your line is open Trey.
Trey Grooms: Good morning.
David Powers: Morning.
Trey Grooms: To the extent you can – can you guys try to quantify at all the negative impact you may have seen in the quarter on the Cement business and Wallboard business from the storms, you know, and other weather events. I know, you mentioned you were down you know X number of days in different businesses and you know, your Georgetown plant was impacted. Is there any way to put numbers around that Craig?
David Powers: Trey this is David and I will attempt to do that. Our Georgetown plant, our shipments were down 35% for the two weeks following the storm. I estimate that we probably lost during the quarter 15 million to 20 million foot of product going to the southeast. Our Duke plant which services south Texas, we were down 10% to 15% for a two week period after the storm. But then our shipments out of Duke the last two weeks of September were higher than I would have normally expected. So I estimate we lost about 5 million foot out of that plant, but in general you're looking 25 million to 30 million foot that we would attribute to those two hurricanes for Wallboard. In terms of Cement, our cement terminals in south Texas, we didn't operate those for a couple of weeks and we’re at half mast and we estimate 20,000 to 25,000 tons of products that we did not ship during the quarter that we normally would have and expected to ship. In addition to that, we have a list of at least 15 jobs at airport, several other jobs that totalled in the area of about 100,000 tons that have been delayed as a result of weather events, hurricanes and other weather events and some timing issues and some of these will get done this quarter, but more than likely the bulk of them won't come to fruition until - till the spring. That's about as close as I can get for you Trey.
Trey Grooms: Okay. Thanks. That's super helpful. And then you know, you mentioned that underlying demand is good. It sounds like the backlog is good. You know, I think you mentioned just a minute ago something like mid-single digits is an expectation for overall kind of Wallboard demand going forward. When we look at you know, even more near term you know, post the storms and you know since things have started to dry out and the sun has started to shine a little bit up there. Are you starting to see some of those you know demand drivers on the Wallboard side start to come back now or is that also going to be more of something that will take place later on?
David Powers: It it's actually both. I mean I look at what happened at Katrina and some of this played out over three years, some of it was immediate, some of these people moved to other locations and built homes elsewhere. But I normally don't give you mid-quarter numbers, but I will tell you on Wallboard for the first 15 shipping days of October we're shipping at a pace on a per day basis of more than 10% higher than what we did during the quarter. Just to give you a feel.
Trey Grooms: All right. Thanks, Dave. I appreciate that. And then last one for me. You know, on the Paperboard business, I know that you guys - you know you highlighted that there was kind of a shift you know two contracted customers and you know the volume was impacted as a result. Can you help us understand how the mechanics work around that? And on a go forward basis kind of how we think about the - you know what the volume could look like on the Paperboard business given the changes that have gone on there?
Craig Kesler: Yes. This is Craig. So you know, if you look at on a trailing 12 month basis or you even look at last year's, you know we shipped almost 320,000 tons and that's pretty nearly full utilization and in the prior year there have been some extra opportunities to strategically sell some other customers, as we continue to see the needs of our contracts and our customer grow, those opportunities to sell external customers are being changed and moving away from that. So that we can satisfy our own internal needs, as well as our contracted customers. So you know - the paper mill is at a nearly sold out position and that's why you see that shift in volumes.
Trey Grooms: And sorry just kind of follow on to that, on the margin side of Paperboard with all those changes in the fluctuations we've seen in OCC, obviously that’s been very volatile. Is there a sense that we'll start to see the return to higher margin starting in this December quarter. Or is that take a little bit longer to kind of parse out as well?
Craig Kesler: Yeah, no. I think as Dave mentioned we saw a pretty steep decline in OCC prices here in October. So subsequent to the quarter that would improve the profitability of the paper mill pretty quickly.
Trey Grooms: Okay. Thanks a lot guys. I appreciate the color on all that. Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Scott Schrier of Citi. Your line is open Scott.
Scott Schrier: Hi, good morning. I wanted to follow up on that last question on the OCC and I know Dave you had called out, you should see about $3 million or $4 million tailwind in Paperboard. Can you talk about the - how we should think about the impact in Wallboard and when - what quarter we should start to see the tailwind in the Wallboard rather?
David Powers: As you know the - there's one quarter lag on fluctuations in OCC that we pass on to our customers and the last three quarters Republic has been under water and now they're going to start passing it back to customers. And I would estimate that you'll see American gypsum take in the area of about a 3% price increase on paper.
Scott Schrier: Okay, great. And then on Wallboard pricing, it looks like it declined a bit both sequentially and year-on-year. Just wanted to see is that just market fundamentals or is there a mix issue there or how can we think about what caused the decline in our Wallboard pricing?
David Powers: It was not a mix issue. We had some competitive price issues in June and July that we chose to meet. And as I mentioned on the last call, I thought prices this calendar year would play out very similar to how they played out last year.
Scott Schrier: Okay. And then lastly, I wanted to ask a little bit more on the macroeconomic environment, particularly the public infrastructure spending. Obviously, it looks like you've been able to get a good amount of cement pricing. But what we're seeing I know the volumes are impacted by weather this quarter, but the public spending data hasn't really materialized yet to how some folks were hoping and I know some of that was due to weather. I'm just curious what you're hearing maybe from some of your cement customers on how we can think of the cadence and the timing of the ramp and the public infrastructure spend?
David Powers: Well, you know, a lot of it has to do with the infrastructure bill getting passed. But when I look at any industry associations and the analysts they're all projecting single digit growth for next year and quite a bit higher once the infrastructure bill gets passed. But it is true there probably are some local communities that have projects ready to go that they're debating whether to do them or wait for some support from the federal government. So there are some lags in some of those and it's really hard to predict when those will go.
Scott Schrier: Great. Thank you.
Operator: Thank you. Our next question comes from the line of an Adam Thalhimer of Thompson Davis. Your line is open.
Adam Thalhimer: Hi. Good morning, guys.
David Powers: Morning.
Adam Thalhimer: What did surprise you if the oil and gas segment was profitable in Q3?
Craig Kesler: You know, Adam, the oil and gas segment has a significant amount of depreciation, depletion and amortization which we provide in the back of the earnings release. So we're generating good cash flow out of that business. We do have some opportunities to continue to improve the probability of that plant. So without getting into specific timing to where it generates positive operating income, we continue to get much closer. But we look at that business and value it on an EBITDA basis. But we're certainly getting much closer and with the volumes that we've seen it wouldn't surprise me to see that business move positive in the near term.
Adam Thalhimer: Got it. And then you talked about - earlier in the call you talked about mid single digit volume growth at Wallboard. Is that – is the restart of the Bernalillo plant increase that for you?
David Powers: Just a little bit. As you know we're running that as a peaker plant. We have dayshift only and we're going to run it when the orders are there, whether it's 2, 3 or 4 days. So it gives us a greater opportunity to service Houston when the need arises. And to service Arizona as that market picks up.
Adam Thalhimer: Okay. And then the $6 to $8 I think you said on the cement prices. Is that a January 1st event for the cement price increase?
David Powers: Some of them are, the majority of them are in April however.
Adam Thalhimer: Okay. And last one for me, I wanted to ask about kind of trends within the frac sand business. The - just from some of the [indiscernible] and talked about the Permian still using more sand per well, but other basins you've seen sand per well use flattening out. I'm just curious your thoughts on whether that flattening out and some of those basins is a bad thing or…
David Powers: Our indications are they're using more sand per well.
Adam Thalhimer: Not just in the Permian, but other basins as well?
David Powers: That's correct.
Adam Thalhimer: Okay. Great, thank you.
Operator: Our next question comes from the line of Kevin Hocevar of Northcoast Research. Your line is open Kevin.
Kevin Hocevar: Hey, good morning everybody. I'm wondering if - you made a comment earlier that seeing a 10% improvement in Wallboard in October. I was wondering if that comment was in relation to a year-over-year improvement or was that kind of sequentially compared to the September quarter?
David Powers: Definitely it’s both.
Kevin Hocevar: Got you. Okay. And then on the - the cost associated with installing the pollution equipment in the Nevada cement plant are those all contained within the September quarter or do you expect to have a little bit more spill into the December quarter?
Craig Kesler: They will be contained into the September quarter.
Kevin Hocevar: Okay. Got you. All right. Thank you very much.
Operator: Our next question comes from the line of Jerry Revich of Goldman Sachs. Your line is open.
Jerry Revich: Hi. Good morning, everyone.
David Powers: Good morning.
Jerry Revich: I'm wondering if you talk about in the Nevada plant, what's the solid waste tolling revenue opportunity for your post upgrade and are there any other plants that have a similar architecture where solid waste burn is possible where you haven't rolled it out yet.
Craig Kesler: Yes. Jerry, this is something that you know, right, any project to reduce cost is something that we explore, whether it's improving just a fuel consumption or the fuel that they're burning and we do that with all of our facilities not just in Nevada. This was just an opportunity as we were installing some pollution control equipment to put in this opportunity to burn all the waste fuels. And we expect to continue look at those opportunities across the whole network. You know, the Sugar Creek facility we have in Kansas City is a great example of that as are many others.
Jerry Revich: And Craig, in terms of the incremental revenue or should we think about it as a tolling opportunity or are we just talking about substituting nat gas or coal product where you don't have a cost to it?
Craig Kesler: Yes, it's not a tolling arrangement, it would be a cost reduction and you know, the equipment is just up and running. So we haven't quantified it, but you know, it's just – will continue to help us lower the cost structure of that facility.
Jerry Revich: Okay. And I know you folks work on capacities, you’re moving higher over time within Paperboard. I'm wondering if you just talk about since now we're at a point where we're meaningfully supply constrained, what are the incremental opportunities to either run additional overtime or other CapEx opportunities for - to take paper work production higher. Can you just flesh out for us how you're thinking about that?
David Powers: Jerry, we are looking at some opportunities to incrementally add a little bit of capacity at that plant over the next couple of years. I can tell you that, to take care of our customers needs.
Jerry Revich: Okay. All right. Thanks, everyone.
Operator: And ladies and gentlemen, we have no further questions in queue. At this time, I'd like to turn the call back to your CEO Mr. Dave Powers for closing remarks.
David Powers: I'd like to thank all of you for participating in the call and we will look forward to talking with you after the holidays. Thank you much.
Operator: Ladies and gentlemen, this does conclude the call. You may now disconnect. Everyone have a wonderful day.